Operator: Good day ladies and gentlemen, and welcome to the Q3 2018 Independence Realty Trust Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the call over to [Inaudible] Investor Relations. You may begin.
Unidentified Company Representative: Thank you. Good morning, everyone. Thank you for joining us to review Independence Realty Trust’s, third quarter 2018 financial results. On the call with me today are Scott Schaeffer, our CEO; Jim Sebra, our Chief Financial Officer; and Farrell Ender, President of IRT. Today’s call is being webcast on our website at www.irtliving.com. There will be a replay of the call available via webcast on our Investor Relations website and telephonically beginning at approximately noon Eastern today. Before I turn the call over to Scott, I’d like to remind everyone that there may be forward-looking statements made in this call. These forward-looking statements reflect IRT’s current views with respect to future events and financial performance. Actual results could differ substantially and materially from what IRT had projected. Such statements are made in good faith pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to IRT’s Press Release, Supplemental Information and filings with the SEC for factors that could affect the accuracy of our expectations or cause our future results to differ materially from those expectations. Participants may discuss non-GAAP financial measures during this call. A copy of IRT’s press release and supplemental information containing financial information, other statistical information and a reconciliation of non-GAAP financial measures to the most directly comparable GAAP financial measure is attached to IRT’s most recent current report on the Form 8-K available on IRT’s website under Investor Relations. IRT’s other SEC filings are available through this link. IRT does not undertake to update forward-looking statements in this call or with respect to matters described herein, except as may be required by law. With that, it’s my pleasure to turn the call over to Scott Schaeffer.
Scott Schaeffer: Thank you, Alex. The third quarter delivered results in line with our expectations, while also building momentum in our value add initiatives and strengthening our portfolio through capital recycling activity, and lastly solidifying our balance sheet by extending our debt maturities with a new five year term loan subsequent to quarter end. For the third quarter Core FFO was $0.19 per share, unchanged both year-over-year and sequentially, while same-store NOI grew at 1.9%, the high end of our quarterly guidance range provided with their Q2 earnings report. As we move into the last two months of the year and through 2019, our investment thesis remains on track. From a macro perspective, the recent softening of existing housing sales along with a rising interest rate environment is a positive for the multifamily rental market. Further when we look at our portfolio, we continue to be encouraged by the strong fundamentals and demographic trends in our markets that are driving consistent demand for multifamily product at attractive rental rates. Jobs and population growth continue to outpace both gateway markets and the national average, providing a strong foundation for continued acceleration. Our value-add program which commenced in early 2018 continues to be a major initiative for IRT as we seek to organically unlock value in our portfolio. We have identified opportunities to improve unit interiors and in some cases building exteriors which is increasing rental rates and reducing operating costs. We are confident that this program will continue to improve our rental profile, generate strong returns on investment and increase long term value for our shareholders. To that end we have transformative projects under way in 12 of the 14 phase 1 and phase 2 communities, and are realizing the rent premiums and return on investment we projected for our renovated and lased units. Specifically, these new units are generating an average monthly rent premium of $173 per unit and we are completing the projects at budget. This has enabled us to deliver an 18% return on investment. Even with these rent premiums, our units are priced below comparable new construction. Further, we continue to expect phases 1 and 2 of the value add program to generate between $8 million and $9 million of incremental annual NOI upon completion. While the long term returns are on track with expectations, during the latter half of the summer the disruption from the renovation process caused increased vacancy due to lower than anticipated lease renewals at four of our value add communities. The occupancy impact has culminated in lower near-term top-line rent than we had originally anticipated. Concurrently we also experienced some staffing challenges at these four value add properties, including filling open positions and having the appropriate skilled labor to process the higher volume of unit renovations. These issues are resolved, occupancy is beginning to rebound at these communities and it is expected to stabilize in the first quarter of next year with a higher credit profile resident paying a higher rents. These challenges will delay the completion at these four properties, but do not alter the ultimate value creation for the program. We've learned from this experience, we have the right team in place; we've improved the processes of renovating units and delivering them for leasing. We will continue to provide you with a detailed disclosure of the redevelopment projects going forward, and I encourage you to review the supplemental we posted on our Investor Relations website this morning. As a result of the occupancy drag at the four value add communities, we are adjusting our Q4 and full year same-store NOI expectations which Jim will discuss momentarily. Additionally we now forecast that the completion of the phase 1 and phase 2 initiatives to be pushed out by approximately six months. This puts the conclusion of phase 1 into the second quarter of 2019 and the completion of phase 2 in early 2020. Turning to capital recycling, we are building critical scale in our core markets through new acquisitions, including four new communities since the start of the third quarter. Two communities are located in Tampa; one in Columbus, Ohio; and one in Atlanta, all target markets that we have pro-actively chosen to increase our footprint and to build economies of scale based on the superior supply-demand fundamentals for middle-market rental housing. Additionally, the dispositions are on track with four of the community's held for sale, expected to close by year end and the fifth expected to close in January. Lastly on the financing side, we are pleased to announce the issuance of a new five year term loan which strengthens our capital position and provides us with increased flexibility to continue to execute our accretive investment and operational strategies moving forward. The proceeds were used to pay down our revolving line of credit and therefore do not impact our overall debt levels. Before passing the call on to Farrell to discuss our markets in more depth, I would like to take a moment to highlight the hard work and dedication of our teams on the ground in the Carolinas in the hurricane Florence. We were fortunate to suffer no material damage to any of our communities, although our team was ready and available to help with any debris clean up and outreach needed in the broader communities we serve. Farrell?
Farrell Ender: Thanks Scott. In the third quarter we made significant headway, optimizing our portfolio through value add activity and investing further in core markets through our capital recycling program. As Scott mentioned, we also continue to see strong macro fundamentals in key markets, driving same-store NOI growth. We saw revenue growth of 4.7%, 3.5% and 3.1% respectively in Oklahoma City, Memphis and Raleigh- Durham. We continue to see significant improvement in Oklahoma City market as the economy continues to stabilize. Occupancy averaged 95% for the quarter compared to 92.2% for Q3, 2017. We also sell lower turnover expense due to the higher occupancy generating NOI growth of 10.8%. We experienced upsides growth in Orlando a market targeted for expansion. Our community in this market had revenue growth at 8.7%. As we've mentioned in previous quarters, this property will be competing with an adjacent newly built community that is expected to be in lease up by the end of this year. We anticipate some impact to our properties performance and will update accordingly. The community is located in a very strong sub-market with approximately 30,000 units and historically performed well in times when there's an influx of new supply. Turning to a market that has been challenging, Louisville had a softer quarter on a same-store basis. In Louisville we are seeing short-term occupancy disruption from the two value-add projects, but we expect these projects to be extremely valuable for the communities over the long term. Overall, our same-store rental rate growth is strong. In the third quarter we drove a blended rent increase of 4.1% over the expiring leases, with renewals averaging 4% and new leases averaging 4.3%. So far these growth rates demonstrate continued momentum and we are seeing a similar trend in the fourth quarter. As of today we have signed new or renewed leases at an average rental rate of 4.3% for the fourth quarter. Now looking at our value add program. We have projects underway in 12 of the 14 communities that are part of phase 1 and phase 2. These projects are yielding returns on track with expectations, achieving approximately 19% rent premiums. The renovated units are in high demand and we’ve leased 807 of the 847 completed units. However as Scott mentioned, we have experienced some occupancy challenges. At the villages at Auburn, the most impacted of our value add communities; the renovations included extensive clubhouse amenity upgrades which affected the 2018 leasing season. We are now carrying an inventory of 54 renovated units. We leased 135 of the renovated units at a $213 rent premium, which generates an 18% return on investment. With the exception of this community, the renovated units are either fully leased or experiencing pre-leasing demand. Our renovation program is providing our residents with an attractive value opportunity in contrast to Class A options. Lastly I wanted to provide an update on the capital recycling program. Currently four of the five communities held for sale are expected to close by year end for a total sale price of $137 million, representing an economic cap-rate of 5.31%. We expect our final property held for sale to close in the beginning of 2019. Turning to acquisitions in the quarter, since our last call we’ve acquired a 260 unit property in Atlanta. The Atlanta property is in the McDonough Suburb and posts a strong job market and a top school district. We purchased this property from the same seller that we purchased the nine property portfolio from in 2017, and we expect to have the same ability to expand margins through onboarding this property to our platform and implementing our revenue management and expense control processes. Today we had a 276 unit property in Brandon, Florida, a mature suburb of Tampa under contract which is expected to close in November. This will be our third community in the Tampa market bringing our total unit count to 840. We have highlighted Tampa as a core market with strong fundamentals. These two acquisitions are an addition to the acquisitions we discussed in the second quarter. As a reminder, on July 11 we acquired a 348 unit community in Tampa for a purchase price of $43 million and on July 26 we acquired a 232 unit community in Columbus Ohio for purchase price of $21.2 million. Since the beginning of the third quarter, we’ve acquired four properties totaling $141.7 million at a 5.34 economic cap rate. We are continuing to accomplish our goal of expanding in markets that have better long term fundamentals and at similar cap rates to our dispositions. With that, I'll turn the call over to Jim for an update on the financials.
Jim Sebra: Thanks Farrell. For the third quarter of 2018 net income available to common shareholders was $4.8 million, up from $1.1 million in the third quarter of 2017. Year-over-year core FFO grew from $14 million to $16.5 million for the quarter ended September 30, an increase of 18%. Core FFO per share was $0.19. Adjusted EBITDA for the quarter increased to $24.7 million, representing a 22% increase year-over-year. We continue to see the benefits of 2017 portfolio transformation on our bottom line in 2018. For Q3, 2018 we reported same-store NOI growth of 1.9% and revenue growth of 1.9% with property level expenses increasing 2%. On a year-to-date basis we’ve seen same-store NOI growth of 2.2% and revenue growth of 2% with property level expenses increasing 1.9%. Not to minimize the challenges in our four value added communities, the same-store portfolio excluding the value add communities is performing with occupancy at 95.3% and Q3 NOI growing at 3% over the last year. From a non-same store perspective we continue to see positive results as compared to our expectations and the results from the prior owner. For example, the non-community portfolio we announced in September 2017 has seen its NIO grow in Q3, 2018 by 17% over Q3, 2017. The majority of this growth has come from rent increases with some reduced expenses. Looking ahead, our same-store portfolio will grow to 50 properties on January 1, 2019 as we will include 13 properties that we acquired in 2017 and through the early part of January 2018. Turning to the balance sheet, as announced this morning, we completed a $200 million unsecured five year term loan, with an interest rate equal to LIBOR plus the spread based on our leverage. Today that interest rate was equal to LIBOR plus 145 basis points, approximately 15 basis points inside the market for similar transaction. The maturity date of this new five year unsecured term loan is January 2024. We effectively fixed the interest rate on this floating rate term loan by purchasing an interest rate collar for the entire five year term on October 1. The proceeds were used to repay borrowings outstanding on our revolving unsecured line of credit, which has the effect of both extending our debt maturities and freeing up liquidity on our line of credit. We finished Q3 with 58 properties and total gross assets of $1.8 billion. Our total debt to gross assets grew 70 basis points to 54%. From a net debt to adjusted EBITDA standpoint, our leverage rose slightly to 9.7x. Our leverage will decline later this year as we complete our capital reassessing efforts. Our pro forma net debt to EBITDA will reduce to approximate 9.3x once those capital reassessing activities are complete. We continue to execute on our strategy of increasing our percentage of unencumbered assets over time. As of September 30 our unencumbered assets represented 47% of our portfolio, while as a percentage of our total NOI, unencumbered asset represents 42.2% of the portfolio. This represents a sequential 200 basis point and 180 basis points of increase respectively. Also during the third quarter we were active on our ATM and issued 1.9 million common shares at an average price of $10.32. We raised net proceeds at approximately 18.8 million. These proceeds were used to fund the capital expenditures of our value add program. Lastly, we are adjusting our fourth quarter and full year guidance to reflect the occupancy impact at the four value added communities that Scott discussed. We now expect our full year 2018 core FFO to be between $0.74 and $0.75 per share, which represents the low end of the guidance range we introduced at the beginning of the year. We reduced our 2018 dispositions to a range of 136 million to 139 million and a gain on sale guidance to a range of $17 million to $19 million, as one asset held for sale is now expected to close in Q1, 2019. From an NOI perspective we are also adjusting our fourth quarter same-store NOI guidance to a range of 3.3% to 4%. For the full year 2018 same store NOI guidance we are adjusting our guidance to a range of 2.5% to 2.7%. Despite the near term impact of the value add initiatives, we remain encouraged by the rent premiums we are seeing, as well as the enhanced credit profile with tenants still in our completed units. We continue to look forward to the long-term when it comes to our portfolio transformation and we are confident that we are well positioned to maximize value for our shareholders. A full update of our revised guidance is available in the quarterly supplements we published today and available on our Investor Relations site. Scott, back to you.
Scott Schaeffer: Thanks Jim. Operator, at this time I'd like to open the line for questions.
Operator: [Operator Instructions]. Our first question comes from Drew Babin of Baird. Your line is open.
Drew Babin: Hey, good morning.
Scott Schaeffer: Hi Drew.
Jim Sebra: Hi Drew.
Drew Babin: Farrell, you mentioned the personnel issues for the value add properties and I guess I was hoping you could elaborate a little more on those issues and you know I would assume that they probably had something to do with the value add programs since those were the properties where that occurred. Could you just maybe give a little more color on that?
Farrell Ender: Yes, so since we are self-performing a lot of this work, it really was a component of just getting back too many more units than we had budget for. So the skilled labor that's really turning over these units, but we just don't have the capacity for it and we had to go out and find more to deal with the amount of units that we had to hand it back to us through the lower renewal process.
Drew Babin: Okay. So it wasn't kind of a more senior property manager type issue, it was more of a...
Farrell Ender: No, simply it was basically getting back more units than we had anticipated.
Drew Babin: Okay.
Scott Schaeffer: Drew, this is Scott. Drew can I just clarify that a little bit, it wasn’t maintenance at all. We are doing this work in-house and we’ve hired skilled labor to do and to Farrell point, the renewal rates were lower than we had anticipated on lease expiration of existing leases and that handed us back more units than frankly we had anticipated and we're prepared for. So we just didn't have enough skilled labor at those properties, which caused us not turning the units – all of the units that came back as quickly as we would have liked, which has you know caused a pre-occupancy impact.
Drew Babin: Okay, that makes sense and I appreciate the color. There is language in the Press Release talking about how the $8 million to $9 million of NOI could be unlocked by the end of ’19, but Scott it sounds from your comments like the second phase will likely not be done until early ’20. I was just hoping you could clarify that and maybe kind of give us a quarter, where you would maybe expect that to be unlocked by on a run rate basis.
Scott Schaeffer: Well, on a run rate basis I would say that’s into the second quarter of 2020 where we had probably – well, not probably. We had anticipated it to be in the first quarter of 2020. And remember, it's an ongoing issue cumulative effect of the increased rents from these renovated units. So you know we will have the positive compounding through 2019 and then it should all be in place on a run rate by the middle of 2020.
Drew Babin: Okay, and one last one. On the expense guidance being revised down for this year, was that entirely driven by lower property tax expense growth and I guess can you talk a little bit about the appeals process and I'm assuming something went better than initial expectations. If you could talk about that, I'd appreciate.
Jim Sebra: Yes Drew, this is Jim. I mean we did – we were pretty conservative in our original guidance around real-estate taxes, just given the environment we're in and fortunately we just have not seen the level of tax increases that we are expecting and therefore the reduced guidance. At the same time we also renewed insurance earlier this year that allowed us to kind of drive even further improvement in the expense savings on that as well.
Drew Babin: Okay, great, that’s all from me. Thank you.
Jim Sebra: Thanks Drew.
Operator: Our next question comes from Austin Wurschmidt of KeyBanc Capital Markets. Your line is open.
Austin Wurschmidt: Hi, good morning guys. I was just curious if the revised guidance and adjusted timing on the renovation completion assume any types of similar delays or occupancy disruption to account for any risks related to either labor shortages or slower releasing moving forward?
Scott Schaeffer: It does, however as I said in my remarks Austin, we've learned from this and we're taking positive steps or proactive steps to minimize the effect going forward. We will make sure that we are appropriately staffed with skilled labor to handle the units that we get back. We've also are more aggressively staggering leases so that we're not getting as many units back in the middle of each year. And yes, but of course the guidance going forward does and will continue to reflect what we hope is a better appreciation for this, you know the value add process.
Austin Wurschmidt: Did you get any color as to what was driving the above average move outs or what the reasons for move out was. Just curious if the disruption from the renovations is you know forcing people to kind of rethink their renewal decision or was it something else you think that was driving that?
Scott Schaeffer: Well, we think – we do poll our tenants when they leave and we believe that for the most part we get honest answers, but you can never really tell. We do believe it was really related to the renovations, because we saw more normalized renewal rates at the properties that aren’t going through the renovation process, and really what we were told by a number of the tennis leaving is that it was the noise, the traffic, the dirt, all associated with you know the construction program. In addition to it, some of them saw higher rents coming for the property as a whole and just thought you know they were going to go try to lease somewhere else and lock in a lower rent. Tenants who didn't want to pay, you know the increased rent for the renovated unit. So we think it was all of those factors, but the fact that our non-value add properties saw again more normalized renewal rates, it makes it pretty clear to us that it is the renovation process that caused the lower renewal rate.
Austin Wurschmidt: Alright, that’s helpful. I know you provide kind of a quarterly same-store growth metrics excluding the renovations. If you were to kind of strip out the same thing for the guidance, how is the non-renovated portfolio performing relative to your initial expectations?
Jim Sebra: Its pretty much – Austin, this is Jim. It’s pretty much online with or on target with our original expectations. You know I think Scott mentioned you know the same-store portfolio and specifically the value add is still relatively small, just that you know and occupancy impact might have a larger kind of percentage impact although its relatively smaller dollars. On whole, the non-value add part of the same store continues to perform as expected.
Austin Wurschmidt: Thanks, and then just a last one from me. Leverage ticked up a bit this quarter. Seems a bit timing related, but curious when we should expect that to start to move in the other direction?
Jim Sebra: Yeah, you should see, you know once the capital reassessing activities are completed later this year, you should see that beginning to kind of come back down, closer to that 9.3 pro forma. You know the full pro forma, you know certainly the effect once that final capital recycling activity occurs in January 2019.
Austin Wurschmidt: Okay, great. Thanks Jim, thanks Scott.
Scott Schaeffer: Thank you.
Operator: Our next question comes from Nick Joseph of Citi. Your line is open.
Nick Joseph: Thanks. Given the delays in your term impact for redevelopment, when do you expect the dividend to be covered by cash flow?
Scott Schaeffer: You know we had – our projection was that it would be covered in the fourth quarter of 2018. I am still you know of the opinion that that will happen. However as we you know go through the final two months, you know the impact of this value add vacancy may push that back into the first quarter.
Nick Joseph: And when you talked about it being covered, that's going forward as well, right. It’s not just a one quarter phenomena?
Jim Sebra: No, it’s going forward. When we cover it, we expect it to be covered in perpetuity.
Nick Joseph: Thanks. And then you should stock around NAV in the quarter which makes sense, but now you’re trading in discounts. So how do you think about issuing equity given the current dynamic?
Jim Sebra: We will not be issuing equity at the current pricing levels.
Nick Joseph: Great, thank you.
Scott Schaeffer: Thank you.
Scott Schaeffer: Thanks Nick.
Operator: Our next question comes from Craig Kucera of B. Riley. Your line is open.
Craig Kucera: Hey, good morning guys. Back into about a 5.2 cap rate on the recent acquisition you completed, can you give us the individual yields on both the Atlanta acquisition and the Tampa asset?
Farrell Ender: Yeah, the Tampa acquisition was a 5.15, stabilizing at 6.25. Again Craig we're going to put that on our platform and we believe there is potentially significant value add there. The Atlantic cap rate was 5.8.
Craig Kucera: Got it. And when we look at sort of your capital recycling, are you still of the mindset you are going to get to accumulative 170 to 190 with the remainder coming in early fourth quarter and kind of where are those four assets that you expect to close here in the fourth quarter in the process of being sold.
Scott Schaeffer: Sure. So yes we do. We think once we have the ability to purchase one more property with the capital recycling. Of the four properties, we have two under contract, are in due diligence. The other two will be under contract in the very near future and we expect those four to close this year, and like we said the fifth is being marketed right now with a close in early 2019.
Craig Kucera: Got it, and as far as recycling that incremental capital from that early 2019 disposition. Have you soft circled any asset that you think you're going to acquire and if so, can you give us any color on maybe markets, kind of what you're thinking could potentially happen?
Scott Schaeffer: I can give you color on markets. We haven’t identified anything specific right now. We actually have a lot of f things on the pipeline that we're looking at. It’s obviously a competitive marketplace, so we are trying to find the best opportunity. But we are trying to grow in that Tampa, Orlando; except for Florida markets, Atlanta, Raleigh, Charlotte markets that we're in and create more efficiencies of scale.
Craig Kucera: Okay, thank you.
Operator: Our next question comes from Bob Napoli of William Blair. Your line is open.
Bob Napoli: Hi, good morning everybody.
Scott Schaeffer: Good morning Bob.
Jim Sebra: Good morning Bob.
Bob Napoli: As you look into 2019, what are your thoughts on the ability to increase rents on let’s say the renovated versus the non-renovated break-out. Is it getting more difficult at the margin to get those rate increases?
Scott Schaeffer: No, we are actually seeing the opposite. The renovated units as you know Farrell said, you know we're seeing 19% of rent premiums over you know an un-renovated unit of the same style in the same market. So that's very healthy and we don't see that abating at all. I mean also to follow-up on his earlier comments, at all but one property we had renovated basically all – we have leased, excuse me, basically all of the units that we renovated and in a number of properties we have units pre-leased waiting for the renovation process to be completed. We are also seeing very healthy rent growth in young renovated units and we attribute that to again being in markets where there's good job growth and now wage acceleration and you know we think we're well positioned to continue pushing the rents, those are on renovated units.
Bob Napoli: And then just on the – can you talk a little bit about where you're looking to acquire. As we go into ‘19 are there additional divestitures we should expect?
Scott Schaeffer: Well, we will continue, where our plan is to continue the recycling efforts. We are not prepared at this point to identify specific markets, but as we’ve stated in the past, you know there are markets where we only have one or two communities and if we determine that those are markets where we're not going to grow, we will look to recycle out of those communities and to redeploy the capital in areas where we do see longer term growth and you know want to generate additional economies of scale.
Bob Napoli: Great, and just last question. The cap rate trends in your core markets, are you seeing any changes given the interest rate environment maybe, but any trend changes in cap rates.
Scott Schaeffer: Surprisingly no. You know it’s clearly as you know, probably better than anyone or as well as others that you know cap rates typically tend to follow interest rates, maybe with a lag. But we have not seen cap rate movement in the B Class assets, even with the recent increase in interest rates. You know we are very happy with the fact that we've been able to recycle out of markets you know that we believe do not have as strong long term growth prospects, Jacksonville, Mississippi; Little Rock, Arkansas just to name a couple and that we were able to sell those assets at you know with the combined cap rate of 5.3% I think is what Farrell referenced and at the same time we've redeployed over – we will have redeployed that capital in markets where we see longer, better growth and you know and with similar cap rates. So we are excited with the fact that we've been able to, you know what we believe this upgrade, the portfolio and better markets at cap rates that are no lower than what we're selling at.
Bob Napoli: Great. Thank you. I appreciate it.
Scott Schaeffer: Thank you.
Operator: [Operator Instructions] Our next question comes from John Massocca of Ladenburg Thalmann. Your line is open.
John Massocca: Good morning everyone.
Scott Schaeffer: Hi John.
John Massocca: Just looking back at guidance, I just want to clarify one thing. So the prior guidance had a little more acquisition activity baked into. The reduction in that all tied to the timing of capital recycling and kind of wanting to match funds with the sales are going to slip in – or the sales side are going to slip into 2019?
Scott Schaeffer: Yeah, certainly the reduction in guidance is guidance is certainly updated to reflect kind of obviously the updated capital recycling, more so the kind of one incremental acquisition that we can do being pushed into 2019 as well. But also just it’s been updated for obviously the value add and renovation kind of challenges we've talked about.
John Massocca: But that hasn’t affected your acquisition targets. I mean long term you are still kind of looking at that 160 to 180, maybe it's just now moving into the first half of 2018.
Scott Schaeffer: That’s right.
John Massocca: Okay and then within that same kind of guidance, was the current capital recycling timing contemplated in last quarter's – the guidance you gave last quarter or has closing maybe even little than anticipated on the dispositions than it was the time of 2Q ’18 call. Understanding obviously you have something slip into 2019, but just the other assets that are closing, were they always expected to be kind of this late?
Scott Schaeffer: Yeah, we expected them to close in the mid fourth quarter. So it’s slightly later, but it’s not dramatically later.
John Massocca: Okay. And then kind of maybe broader, I know you had talked in the past about supply concerns in some markets outside of Orlando. Can you give us any color on if those supply pressures are still shaping up as projected?
Farrell Ender: Yes, so this is Farrell. On a positive note, I mean we're seeing deceleration across basically with the exception of Charlotte every market that we're in into 2019, 2020, which just makes sense based on what you're doing in terms of lending, getting tighter and material and labor getting more expensive. So we think, looking forward for our Class A portfolio we see some pretty positive results because of that.
John Massocca: Okay, so just Charlotte is still the only one that has some level of maybe supply in a way.
Farrell Ender: Decelerating, but not nearly to the point of our other markets.
John Massocca: Understood. That’s it from me. Thank you guys very much.
Operator: There are no further questions. I’d like to turn the call back over to Scott Schaeffer for any closing remarks.
Scott Schaeffer: Well, thanks everyone for joining us this morning. As we look ahead to 2019, we expect to gain further momentum in the redevelopment efforts to enter into a year of greater strength, strong market fundamentals and organic growth initiatives in place and we're confident that we are working towards unlocking value for many years to come. So thanks again for joining us and we'll speak to you next quarter.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.